Operator: Good morning. My name is Yoni, and I will be your conference operator today. At this time, I would like to welcome everyone to Valens Semiconductor's Fourth Quarter and Full Year 2023 Earnings Conference Call and Webcast. All participant lines have been placed in a listen-only mode. Opening remarks by Valens Semiconductor management will be followed by a question-and-answer session. I will now turn the call over to Daphna Golden, Vice President of Investor Relations for Valens Semiconductor. Please go ahead.
Daphna Golden: Thank you, and welcome, everyone, to Valens Semiconductor's fourth quarter and full year 2023 earnings call. With me today are Gideon Ben-Zvi, Chief Executive Officer; and Guy Nathanzon, Chief Financial Officer. Earlier today, we issued a press release that is available on the Investor Relations section of our website under investors.valens.com. As a reminder, today's earnings call may include forward-looking statements and projections which do not guarantee future events or performance. These statements are subject to the safe harbor language in today's press release. Please refer to our annual report on Form 20-F filed with the SEC earlier today for a discussion of the factors that could cause actual results to differ materially from those expressed or implied. We do not undertake any duty to revise or update such statements to reflect new information, subsequent events or changes in strategy. We will be discussing certain non-GAAP measures on this call, which we believe are relevant in assessing the financial performance of the business, and you can find reconciliations of these metrics within our earnings release. In the coming weeks, we will attend the Annual ROTH MKM conference in Dana Point, California. If you're interested in meeting with us, please e-mail me at investors.valens.com. With that, I will now turn the call over to Gideon.
Gideon Ben-Zvi: Thank you, Daphna. Hello, everyone, and thank you for joining the Valens Semiconductor fourth quarter and full year 2023 earnings call. I'm joined today by Guy Nathanzon, our new Chief Financial Officer. Guy will play a key role in progressing the Valens Semiconductor high-performance strategy and its execution. Guy has more than 20 years of executive leadership experience with U.S. listed and private companies in the semiconductor, medical imaging and aviation technology sectors as CFO of these companies, including Provigent, Altair Semiconductor, TAT Technologies and Scopio Labs. We are excited to welcome Guy to our executive team and glad he is here today for our earnings call. I also want to thank you and Yael Rozenberg for stepping in as our Interim CFO for the past six months. Yael is working closely with Guy and will continue to manage all aspects of our finance department as VP of Finance. As you all know, the past year has been challenging for the semiconductor industry, largely due to macroeconomic headwinds, including customer inventory levels, high interest rates and inflation. Against this backdrop, at Valens Semiconductor, we continue to expand our engagement and partnerships across the various verticals we serve, enhance our innovative high-performance connectivity offerings and improve the visibility of our technology. We are pleased to report with both fourth quarter and full year revenues were at the top end of our guidance range at $21.9 million and $84.2 million, respectively. Automotive revenue reached new highs and accounted for more than 30% of total revenues in 2023. Non-GAAP gross margin for the fourth quarter and the full year came in 63.1% and 63.9%, respectively. And adjusted EBITDA was $2.2 million for the fourth quarter and a loss of $10.3 million for the full year, substantially better than our guidance. We entered 2024 with a strong balance sheet with $142 million of cash and cash equivalents. Valens Semiconductor's robust balance sheet allows us to continue investing in innovation and pursue long-term growth opportunities as we overcome these headwinds. Looking ahead, I'm confident that Valens Semiconductor is well positioned with a highly relevant and compelling set of solutions to address customer demand as we see market tailwinds return. For example, the advantages of our technology make it an optimal connectivity solution to support the increasing need for AI-based applications in robust connectivity solutions that allow the distribution of ever-increasing data. Now, let me turn to our performance and the trends we are seeing in the markets we serve, starting with audio-video. While demand since the second half of 2023 has been challenging, I remain excited. Our offering is designed to benefit from the positive long-term trends in the video conferencing, education, industrial and medical imaging sectors, among others. As more and more corporations are implementing return-to-office policies, they will need to invest in their video conferencing platforms to redefine the hybrid work environment. The installed base potential of video is approximately 100 million conference rooms and classrooms worldwide. The penetration level is very low. It's about 10% or so, according to industry analysts. We believe it's only a matter of time before we see widespread demand from companies for connectivity solutions like ours that offer high bandwidths, quality, easy installation and lower total cost of ownership. To this point, the CEO of Logitech, our customer partner, recently commented that the TAM in video conferencing is enormous. He also said that if you look out 10 years, it makes perfect sense that all conference rooms will be video enabled. I obviously agree with this view of the video conferencing market, which means there is a significant opportunity for Valens Semiconductor. Our offering is increasingly relevant for all types of making rooms from large corporate boardrooms to smaller huddle rooms, and small office home office setups known as SOHO. In 2023, we introduced a very exciting and innovative product, our USB3.2 extension, the VS6320 chipset. With the introduction of this groundbreaking product, Valens Semiconductor addresses the most prominent industry pain points. We provide a high-performance single-chip solution for multi-gig connectivity for distances up to 100 meters or 328 feet over simple category copper cables. Just as with video conferencing, the USB3 extension opens up new opportunities for Valens Semiconductor in the audio-video market. For example, in the industrial vertical, we can expand our penetration to address the demand for high bandwidth and resilience required by AI-based computer vision. Due to the growing use of high-bandwidth USB peripherals and the inherent limitation of connectivity length, the industry has been seeking a professional-grade extension solution. Valens Semiconductor has identified these growing requirements in videoconferencing, IT, industrial and medical applications. We are receiving exceptional feedback from our customers on this newly introduced chipset, and it was a major hit at the Consumer Electronics Show in Las Vegas and at Integrated System Europe in Barcelona, the world's largest audio-video trade show. At CES, the VS6320 was a 2024 Innovation Awards Honoree in the Embedded Technology Category for outstanding design and engineering as the first-to-market chip solution for professional grade extension of USB3.2. And last month, we won two more distinguished awards for the VS6320 at ISE's Commercial Integrator's TNT Top New Technology Award and AV Technology Magazine's Best of Show. Momentum around the VS6320 is strong, with dozens of products under development by Valens Semiconductor customers, a dozen of which were introduced at ISE. Products introduced a range from point-to-point extension between cameras and computer, USB hub and switch extensions, enabling long-range connectivity between multiple USB cameras, videoconferencing, touchscreen control, panels and PCs. We saw exceptional enthusiasm around VS6320 chipset embedded into cameras, which will eliminate the need to use external extension boxes and dedicated power suppliers. This means much faster and simpler installation of videoconferencing system at a lower total cost. We believe that this new standard of built-in high-performance USB3 extension will become a default requirement in the industry. Another innovative product concept introduced by our customer was the extended docking station. Combining Valens' USB3 extension technology with the docking technology provides unparalleled, cost-efficient and easy-to-install huddle rooms. This will enable acceleration of the adoption of videoconferencing in unequipped tens of millions of huddle rooms. These are all examples of how Valens Semiconductor is once again setting standards in transforming industries. We expect revenues from the VS6320 to begin ramping up in the second half of 2024 and believe that Valens Semiconductor will capture a substantial share of this largely untapped and growing market opportunity in the coming years. We are also targeting industrial applications with the USB3 extension chipset, and are extremely excited about this opportunity as USB3 brings benefits to factory automation, which heavily relies on machine vision that increasingly utilizes AI. These benefits include an easy and cost-effective replacement of parts and cable and lower latency and jitter. The VS6320 is a game changer. It solves connectivity challenges of the current solution as it uniquely provides the ideal combination of multi-gig bandwidth extension, long range and resilience with a single chip on each end, all of this done at substantially lower cost. While the sales cycle in the industrial market tends to be lengthy, it provides a long-term and extremely sticky runway. Another evolving trend is multi-camera applications, which are suitable for videoconferencing and provide enhanced meeting equity. Multi-camera applications are also relevant for industrial and machine vision. Commonly-used remote communication platforms are increasingly integrating AI-based decision-making features that selects the best view of audio of in-room participates from multiple cameras and audio sources, increasing the potential quality, clarity and resolution of the video and audio streams in the meeting, enabling better remote communications and collaboration. Valens Semiconductor's connectivity solutions enable this evolution of AI-based applications, positioning us to capture growing business opportunities. For example, in 2023, we announced a collaboration with iCatch Technology, a Taiwan-based AI image processing company, to bring a 360-degree multi-camera videoconferencing solution to market. This videoconferencing solution is based on our automotive grade VA7000. Last month, iCatch announced their plans to introduce an AI-enhanced multichannel surround-view monitoring systems for the automotive industry, which is also based on our VA7000 high-performance automotive connectivity solution. This collaboration demonstrates our vision for a holistic strategy that leverages Valens Semiconductor's core technology to power cross-industry innovation. Talking about automotive, we have continued to make considerable progress in our automotive business and our commercial VA6000 chipset contributed to a record level of automotive revenues in 2023. Our symmetric VA6000 chips have been used in infotainment and telematics systems in Mercedes-Benz cars for a number of years. 2023 was our first full year of selling our chipset into a broad range of Mercedes-Benz models, S, C and E class series as well as their EV models. While the automotive sector is experiencing a cyclical downturn pointing to weaker demand as well as slower decision-making around new technology adoption, I'm encouraged by the interest we see in our VA7000 MIPI A-PHY chipset. We have continued to make progress with various evaluation processes that we are participating in and have expanded our pipeline of opportunities. In addition to the excellent electromagnetic compatibility, known as EMC immunity test, we passed in Japan by JASPAR earlier in 2023. Valens Semiconductor technology was also validated by leading European labs at the request of leading automotive OEMs who are evaluating our technology. While this process is lengthy, as time goes by, the necessity of resilient connectivity provided by A-PHY will continue to grow. Our technology is designed to provide seamless connectivity for the increasing number of sensors and infotainment systems in today's and future cars. This is an unstoppable trend, supported by content uplift as regulatory and safety requirements are increasingly adopted mostly for advanced driver assistant systems known as ADAS and other safety-related solutions. We expect to continue to make progress towards securing the first VA7000 design wins. In the meantime, we continue to advance our long-term prospects for ADAS and surround view safety systems, positioning Valens Semiconductor as a top technology innovator in the automotive sector. So far in 2024, we have announced two important developments. First, we announced our partnership with Intel Foundry Services. IFS will fabricate the second generation of our A-PHY-compliant chipset for the automotive industry. Intel's ecosystem and advanced processes will enable significant cost and power reduction for this chipset family while achieving the highest performance and robust EMC immunity. We are extremely proud to have been recognized by Intel, an industry leader, for developing one of the most advanced chipsets for automotive. Stuart Pann, Senior Vice President and General Manager of IFS, said that one of their goals is to identify transformative technologies and harness Intel's breakthrough process technology and global ecosystem to accelerate innovation and unlock new opportunities for customers. He also said that the Valens Semiconductor MIPI A-PHY chipset is an obvious fit, a next-generation technology with the potential for broad market adoption that can help advance automotive performance and safety and further the market's vision for autonomous solutions. The second announcement made earlier this month was about another new connectivity chipset providing a robust solution to critical safety concerns and operational needs in the trucking industry. Valens Semiconductor's new VA700R chipset will uniquely solve the lack of visibility for trucks on the highway by delivering an unparalleled combination of bandwidth and link distances for both the surround view and rear-view visibility. This multi-gig connectivity infrastructure was designed with highway safety and tractor or trailer in mind and will address one of the most dangerous situations on our road today, making them much safer. Based on the VA7000, we developed the VA700R chipset, which was introduced last month at Automotive World Japan, the largest automotive technology show in Japan. Even with the current headwinds in automotive, we are excited about the progress we are making and can leverage our technology to capitalize on a growing set of opportunities in this multibillion-dollar market in the coming years. With that, I will turn the call to Guy to discuss our financial performance in more detail.
Guy Nathanzon: Thank you, Gideon. Hello, everyone. I'm excited to be here today for my first earnings call at Valens Semiconductor. Over the past few weeks, since I joined Valens Semiconductor, I have met and engaged with a passionate results-driven team. We look forward to the future success of our superior product offerings and are ready to move full steam ahead on executing our long-term strategy regardless of the immediate environment. I'll begin with a review of the company's fourth quarter and full year 2023 results and then turn to our guidance for Q1 2024 and what we expect for the first half of the year. Starting with the quarterly results. Q4 2023 revenues reached $21.9 million, at the high end of our guidance range. This compares to revenues of $23.5 million in Q4 2022. Q4 2023 gross profit was $13.5 million, and gross margin was 61.7%, compared to gross profit of $16 million and gross margin of 68.3% in Q4 2022. Q4 2023 non-GAAP gross margin came in at 63.1%. This compared to 69.2% in Q4 2022. The year-over-year change in gross margin was mostly due to product mix, with a higher proportion of automotive revenue compared to our audio-video business, which has much higher gross margin. Operating expenses in Q4 2023 totaled $15.3 million, significantly lower than $24.1 million in Q4 2022. I'd like to turn to analyzing the improvement achieved in OpEx. Research and development expenses were $8.6 million compared to $16.5 million in Q4 2022. Several factors contributed to substantially lower R&D expenses. Last year, the company recorded expenses of $4.2 million associated with development of our VA7000 chipset family, an essential step towards mass production. As Gideon mentioned, the VA7000 is part of our vision for a holistic strategy that leverages Valens Semiconductor's core technology to power cross-industry innovation. The company also lowered R&D payroll expenses by approximately $2.1 million, in line with the streamlining of our development platforms. The quarterly payroll expenses were also positively impacted by $1.2 million due to lower bonuses and reserve duty refunds. And finally, we benefited from a positive foreign exchange rate impact. SG&A expenses of $6.6 million were 13.5% lower compared to $7.7 million in Q4 2022. This was mainly due to lower payroll-related expenses. In Q4 2023 the company achieved GAAP net income of $2.8 million compared to a net loss of $7.3 million in Q4 2022, driven mainly by lower expenses. Adjusted EBITDA in Q4 2023 was substantially higher than our guidance at a record $2.2 million. The better-than-guided adjusted EBITDA in Q4 2023 was achieved mainly due to lower OpEx. This compares to an adjusted EBITDA loss of $4.6 million in Q4 2022. Another notable achievement was the record GAAP net income per share of $0.03 in Q4 2023, which compares to a loss of $0.07 in Q4 2022. On a non-GAAP basis, net income per share reached a record of $0.06 per share in Q4 2023, 300% higher than the loss per share of $0.03 in Q4 2022. Concluding the Q4 commentary on this positive note, I will now turn to the full year 2023 results. Total revenues for the year 2023 were at the top end of our guidance, reaching $84.2 million compared to $90.7 million in 2022. Revenue from the audio-video business were $57.4 million compared to $74.5 million in 2022 as customers worked through accessing inventory, which slowed the pace of orders. Automotive business revenues rose to a record $26.8 million, up 65.5% from $16.2 million in 2022. I'd like to highlight that 2023 marked the first full year in which Valens Semiconductor's high-performance connectivity chipsets were implemented in a broad range of Mercedes-Benz car models. GAAP gross profit was $52.6 million, and gross margin was 62.5% for the full year 2023 compared to $63.4 million and 69.9% in 2022. Non-GAAP gross margin was 63.9% for the full year 2023 compared to 70.7% in 2022. The change in gross profit mainly resulted from the lower number of units shipped. In parallel, the percentage of revenues from automotive increased substantially to 31.8% in 2023, up from 17.8% in 2022. This mix shift from audio-video to automotive had an impact as audio-video has higher margin. Full year 2023 operating expenses were lower at $79.5 million compared to $91.8 million in 2022. The year-over-year decrease of $12.3 million in OpEx was driven by several factors. R&D expenses decreased by approximately $10 million and drove most of the year-over-year improvement. R&D payroll expenses were $6.1 million lower. They were impacted by the efficiency plan we deployed by the end of Q3, lower bonuses and reserve duty refunds, and the positive effect of exchange rates of the Israeli currency versus the U.S. dollar. The other contributing factor was lower R&D spend in 2023, given the significant investment made in 2022 in our VA7000 chipset family, a $4.2 million investment in a production manufacturing phase to target new automotive design wins. SG&A expenses decreased by $2.2 million year-over-year, mainly due to a reduction in D&O insurance premium. In 2023, we recorded finance income of $5.6 million compared to expenses of $1.8 million in 2022. The $7.4 million increase was mostly driven by our strong cash position and foreign currency exchange rate impact of $3.3 million. More substantial was Valens' robust cash position, which enabled us to benefit from the rise in interest rates on the deposits we hold. Interest income in 2023 reached $6.7 million, up from $2.3 million in 2022. Moving to net loss and adjusted EBITDA. GAAP net loss for the full year 2023 improved to $19.7 million from $27.7 million in 2022. Adjusted EBITDA loss for the full year 2023 was $10.3 million, an improvement compared to $14.9 million in 2022 and substantially higher than the guidance. GAAP net loss per share for 2023 was $0.19. It was better than $0.28 in 2022. Non-GAAP loss per share for 2023 was $0.05. It was better than $0.17 in 2022. Now, turning to the balance sheet. Ensuring a robust balance sheet enables us to implement our strategy, finance our growth plans and puts us on a path towards achieving sustainable profitability. Cash, cash equivalents and short-term deposits totaled $142 million at the end of December 2023 compared to $142.7 million at the end of September 2023 and $148.4 million at the end of December 2022. We continue to carefully manage our inventory and have effectively reduced them throughout the year. As of the end of 2023, our inventory balance was $13.8 million, down from $16.9 million at the end of September 2023, and down from $23.8 million at the end of 2022. Now let's move to our outlook. As with the rest of the semiconductor industry, Valens Semiconductor continues to encounter challenging macroeconomic conditions and shorter lead times, which influenced ordering and inventory consumption patterns. Our Q1 2024 guidance is as follows. We now expect Q1 revenues to be in the range of $11 million to $11.2 million. We expect gross margin to be in the range of 52.2% to 53%. Adjusted EBITDA is expected to range between a loss of $9.7 million and $9.1 million. The current environment is also impacting our visibility and is likely to lead to a challenging first half. As such, Q2 2024 revenues are expected to be relatively flat compared Q1 2024. I would like to reiterate, looking ahead, Valens Semiconductor's growth prospects for the medium and longer term remain positive. Once the industry recovers, we will be ready to continue executing our growth plan with an even broader portfolio. Our extended portfolio is designed to penetrate the untapped market and verticals and enables the evolution of AI-based applications. I'll now turn the call back to Gideon for his closing remarks before opening the call for Q&A.
Gideon Ben-Zvi: Thank you, Guy. We remain focused on execution and on capitalizing on the great opportunities we see ahead in the market that offer the best growth opportunities for Valens Semiconductor. In 2024, we will continue to invest in an innovative and broad pipeline of connectivity solutions and opportunities such as the VA7000 for automotive and audio-video, the VS6320, our new USB3.2 extension offering, and various AI-based applications. We are positioned to take advantage of market tailwinds with a focus on delivering long-term sustainable value to our stakeholders. Valens Semiconductor offers the most innovative, high-performance connectivity solutions with the most advanced chipset in the industry, and we were honored to receive recognition by IFS for developing one of the most advanced chipsets for automotive. We have over 50 years of innovation excellence in the semiconductor industry and a strong balance sheet with the cash necessary to withstand market fluctuations. Valens Semiconductor is a driving force behind technological innovations that make tangible impact on people's life. And with our chipset already embedded in millions of products, we are not just setting standards, we are redefining them across industries. Before opening the call for questions, I would like to take this opportunity to thank our employees. You are the force driving Valens Semiconductor forward with your passion, dedication and an unmatched innovative spirit. With that, I will now open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is from Brian Dobson of Chardan Capital Markets. Please go ahead.
Brian Dobson: Yeah, thanks very much for taking my question, and congratulations on your CES award this year. So, as you're thinking about growth for the year, where do you see pockets of strength and relative weakness compared with 2023?
Gideon Ben-Zvi: Thank you, Brian, for the question, and welcome. We see the strengths and weaknesses as follows. Currently -- we'll start with the softness of the industries in our ecosystem that is still -- we still feel it. I believe we hope that it is -- we are going out of this weakness by the second half of 2024. We feel that we are very well positioned to execute growth plan. We are seeing currently -- the market is -- first is audio-video. We believe the inventory consumption is in good progress. And in automotive, the sector is experiencing, I would say, a cyclical downturn and slower decision-making around new technology adoption, yet we get, in parallel, very, very good recognition about the need, the demonstrable advantage, and we are retained the hopefulness that our solution is this solution and that we'll eventually get what we're looking for. It's harder to predict the date. But it is -- the certainty about the uniqueness and the need of the market is -- we feel it very strong. We also believe it will benefit from capturing new untapped market with our USB3 extension. The product that we just launched and got all those awards, the VS6320, it's a product we are very, very proud of. It's a very high-end product and a very sophisticated technology for the use of a lot broader market, which we were in before. All in all, once the markets we serve recover, we are well positioned to execute our growth plan, and we are all prepared for that. So, I hope I answered you. Thank you.
Brian Dobson: Yeah, very good. Thanks. And then you highlighted that you sold VA6000 chipset into Mercedes-Benz for use in a wide swath of its car offerings. Do you think that other automotive OEMs will see that as a tested stamp of approval? Have you had conversations with other, call it, household brands about selling into those companies as well? And I'm not asking you to specifically name companies.
Gideon Ben-Zvi: We are focusing on the next generation on the VA7000, where we see a lot higher technological barrier and a lot more blunt need and demonstrable advantage on the market. Though the VA6000 is the product that entered us to the market and we believe is a very important player here. Answering specifically about other customers, of course, we cannot discuss. I can just tell that we see the VA6000 also in other markets than automotive. We have sales in industrial. We have sales in audio-video. And the VA6000 has a lot of influence in Valens. As said, it entered us into the automotive. We have Mercedes. We have Stoneridge, and we have other companies which are looking at it, which we cannot elaborate, of course, at this stage. But as I said, it was the step to get into the big market, the VA7000, where we see the huge upside in totally different magnitude. I would like to elaborate one sentence here. If you look at the car, at the vehicle, how many of the links are symmetric? It would require 6,000 and the like versus how many are non-symmetric, asymmetric that would need to connect between a sensor like a radar or a camera to the ECU. And it's by far, by far, more links and also the significance and the importance of those links and how the core vehicle is fragile if those links are not perfect. So, this is the way we see the -- those two chips and the connection between them. So that, I think, summarizes my answer.
Brian Dobson: Yeah. Very good. That's helpful. Thank you. And then, could you share a little bit about potentially positive or constructive feedback you've received from the trucking industry regarding the VA7000 chip's ability to provide, call it, rear-view and surround view visibility for trucks?
Gideon Ben-Zvi: Well, we -- the answer -- the real answer that I cannot share, not because I do not have, it's because we are in some -- I cannot share too much about it, but I say that we have significant hopes of VA700R. We believe that it gives us opportunities. I hope that in the future, we'll be able to share more. At the moment, I can say the following. The [VA700R] (ph) is an industry-leading bandwidth and links distance and gives the solution for long vehicle sensor connectivity that enables things no one can, like 4-gigabit of distance up to 40 meters, 130 feet. And this enables the long-distance vehicle a full surround view and ADAS. And it leverages the VA7000 chipset family for more. While the VA6000 is mainly for rear-view visibility, in tractor-trailers and the VA7000 gives the whole surround view for a long vehicle market. It will enhance the safety offering of trucking industry. And we believe it enables decreasing -- reducing the number of accidents that are because of either going backwards or having a blind spot while in different turns. A lot of the -- and we have a very thorough statistics about accidents with trucks. We believe to give something very serious solution. But about the process we struck, I cannot elaborate now. But I hope I did answer you.
Brian Dobson: Yeah. Thanks. And just one final question. As far as your involvement with the school district in Florida, has that helped you further conversations with other school districts? I know we touched upon that on your last call.
Gideon Ben-Zvi: Sorry, I could -- can you please repeat? We don't -- it was heard here not so clear. Can you please repeat the question?
Brian Dobson: Yeah. Apologies. So, as far as your work with the Florida school district, has gaining a foothold there helped further discussions with other school districts that you may be speaking with? I know we chatted about that briefly on your last call.
Gideon Ben-Zvi: Well, there are -- again, it's like -- in this kind of session, we cannot speak a lot about certain customers. I can say that our AV activity is facing new opportunities, both in school districts, both in the hybrid education, in industrial, and it is something that we believe has a lot of upside for Valens in the future. And part of it is the hybrid education, which is actually part of what you just mentioned at the school district. It's an industry which has own mannerism and own decision-making speed, and it's a B2G, it's business to government, but we are also see an upside here.
Brian Dobson: Thank you very much.
Gideon Ben-Zvi: Thank you.
Operator: The next question is from Suji Desilva of ROTH Capital. Please go ahead.
Suji Desilva: Hi, Gideon. And Guy, welcome to the call. Best of luck in the new role here.
Guy Nathanzon: Thank you.
Suji Desilva: So, yes, the VS6320 sounds interesting here, Gideon. Can you talk about the AI CV market opportunity, the surveillance opportunity for computer vision? That sounds very interesting and could be probably your largest opportunity. But I curious if that is the case and how your traction is there early in that market.
Gideon Ben-Zvi: Thank you very much, Suji, for the question, especially thank you because I asked Daphna before, I want someone to ask me about AI, and therefore, I'm especially thankful this time. AI -- my personal background is -- before Valens is in AI for more than 20 years. AI requires a lot of data and very accurate, especially AI, which is untapped. That's actually needs to learn itself the situation. What we are doing in the world of ADAS, the world of ADAS require a lot of data all the time. And I just want to be very concrete and down to earth. When speaking about compromising on data, what is compromising on data? It's going -- let's say, we don't have enough bandwidth. Should we go from 30 to 24 frames per second? Should we go from 12-bit pixel to 80-bit pixel? And what does it mean? It means that it might not see the foot of the child is going to cross the street in 300 yards from us or because of the fog that there is not enough color there to see the difference between the red light and green light. And this is where the amount of data that is required becomes a lot more essential as important, and the resilience of the link that takes all this data back from the camera to the ECU is more and more essential, because if you lose this link because of electromagnetic influence, the AI, the whole AI might function less good than pre-AI system. So, the AI requirement for a lot of data, and people -- when people start to speak about AI, they started to speak about big data. It came together because AI is -- has a very unique need of a lot of data, and this is where we are positioned. One last thing. When you move from a certain resolution to double resolution and from certain data bandwidth to double, the exposure to EMC is not double. It's exponentially higher. So, the case of a car, they're moving your cellular antenna under a truck, above a bridge, wherever, whether you have a magnetic influence make the whole link a lot more fragile and the ADAS is lot less functional. So this is where AI and how Valens is an AI enabler because of the need for more data and more resilience, a way to transfer the data in time.
Suji Desilva: Okay. No, that makes a lot of sense, Gideon. Appreciate that. In the '24 revenues versus '23, do you have a sense of what auto will be in the mix? And in the first half, is it weaker because of the -- into the cautious guide because of the inventory digestion? Does that impact on the first half for auto?
Gideon Ben-Zvi: Okay. Thank you for the question. So, we think that eventually -- just one second. Sorry for the wait. We have a technical problem. Sorry for that. Can you repeat the question, please, one more, because...
Suji Desilva: Sure, yes. Sure. I'm sorry. So in the -- what the auto revenue mix will be in '24 versus the 30% you saw in '23? And if the first half auto might be impacted by inventory corrections but perhaps recovering in the second half?
Gideon Ben-Zvi: Okay. So, at this stage, we have kind of limited the visibility into the first half of '24 and all over '24. This is why we would prefer this stage not to refer to the product mix between the AV and the automotive. I think that we've seen a significant trend in the automotive between '22 to '23. I would not expect the same pace on the Mercedes-Benz design also into '24 because we are fully ramped. And currently, we would not provide any further information on any new designs on the automotive. If we had something to announce, of course, we will.
Suji Desilva: Okay. Great. And one last question, perhaps, to Gideon. With the partnership with Intel IFS, I'm just curious what features of your chip from a technical perspective stood out to them to have them highlight it versus other chips.
Gideon Ben-Zvi: Well, of course, we cannot elaborate about the detail about technical detail of the chip. I can say one thing. The essence of Valens is a company that replaced the full analog technology with carving out part of the analog and putting the DSP inside. And this puts us in a situation that unlike analog company, we benefit from the more advanced processes because, as you know, the digital enjoys from an advanced processes, while the analog suffers from advanced packages because it's far more expensive. And this -- the deal with Intel will enable us to -- without going to the specs of the chip, that each chip on this process will give us far higher performance, smaller and more efficient power, a power-efficient chip. So that's the advantage of the IFS. I'm not sure if this is what you asked. MIPI A-PHY chipset -- did you ask particularly about the MIPI A-PHY chipset or about this [indiscernible]?
Suji Desilva: Just, yes, what Intel noticed about your chip architecture, obviously, to the auto chip, right?
Gideon Ben-Zvi: Well, the Senior Vice President of Intel, Stu Pann, said that their goal is to identify transformative technologies. And this is what put Intel to do it. And I think this is what put us to do this deal. It'll accelerated innovation, and it'll really unlock opportunities, new opportunities that automotive don't have today. There are a lot of barriers today in the automotive industry regarding bandwidth as we discussed before with AI, but also power. Power, power and power, the -- speaking about the cars that have hundreds of watts -- actually a range of kilowatts in order to operate a different system. And the Intel -- the deal with Intel addresses this particular problem as well inside of the performance -- it's inside of the performance of [indiscernible] for sure, but also the power. MIPI A-PHY chipset is the obvious fit for the next-generation technology because the next-generation technology, as I mentioned before, we speak about AI, it's more resolution, more bandwidth -- more resolution and depths of the color, more bandwidth in order to capture and avoid more accident cases. And the Intel did enable the resolution and the speed that -- and the power to accomplish those needs, and this is why we think it's a transition in the automotive -- for automotive.
Suji Desilva: Okay. Thank you, Gideon. Very helpful. Thanks, guys.
Operator: [Operator Instructions] There are no further questions at this time. Mr. Ben-Zvi, would you like to make your concluding statement?
Gideon Ben-Zvi: Yes, please. Thank you. I would like to thank you all for joining us today for our Q4 and the full year 2023 call and for your continued support and interest in Valens Semiconductor.
Operator: Thank you. This concludes the Valens Semiconductor fourth quarter and final results of 2023 conference call. Thank you for your participation. You may go ahead and disconnect.